Operator: Good afternoon and welcome to the First Quarter 2006 Results AngloGold Ashanti Conference. All participants will be in listen-only mode. There will be an opportunity for you to ask your questions at the end of today’s presentation. If you should need assistance during the conference, then please signal the operator by pressing * and then 0 on your touchtone phone. Please note that this conference is being recorded. At this time, I would like to turn the call over to Charles Carter. Please go ahead.
Charles Carter, Executive Officer, Investor Relations: Thank you, Dylan, and I welcome participants to this presentation by the AngloGold Ashanti executive team of our results for the first quarter ended 31st March 2006. The format of the presentation will be as follows: Bobby Godsell, our Chief Executive Office, will review AngloGold Ashanti’s financial and operating performance over this period. Kelvin Williams our marketing director, in what will be his last conference call, will briefly summarize the gold market conditions and comment on the management of our hedge book during the quarter. This will be followed by a brief presentation of two Chief Operating Officers with Neville Nicolau discussing operations in Africa and Roberto Carvalho Silva covering the international operations. After these presentations, we will take your questions. Before we begin, it is necessary for me to read the declaration regarding forward-looking statements that maybe made during this presentation. Certain statements made during this presentation including without limitation those concerning the economic outlook for the gold-mining industry, expectations regarding gold prices, production, cash costs and other operating results, growth prospects and the outlook of AngloGold Ashanti’s operations including the completion and commencement of commercial operations of certain of AngloGold Ashanti’s exploration and production projects, and its liquidity and capital resources and expenditure contain certain forward-looking statements regarding AngloGold Ashanti’s operations, economic performance, and financial condition. Although AngloGold Ashanti believes that these expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to have been incorrect. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of among other factors: changes in economic condition and market conditions, success of business and operating initiatives, changes in the regulatory environment and other government actions, fluctuations in gold prices and exchange rates, and business and operational risk management. For a discussion of such factors, refer to AngloGold Ashanti’s Annual Report on Form 20F for the year ended 31 December 2005, which was filed with the Securities and Exchange Commission on 17 March 2006. AngloGold Ashanti undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after today’s date, or to reflect the occurrence of unanticipated events. With that, let me hand it over to Bobby Godsell.
Bobby Godsell, Chief Executive Officer: Thank you, Charles. The March quarter was marked by strong financial performance, with headline earnings for unrealized non-hedged derivatives and the loss on the convertible bond increasing by 110% to $86 million. This is primarily the result of our strong participation in the quarter’s gold price rating, with out received price coming in at just 2% under spot or $69 per ounce higher than in the fourth quarter of 2005. With respect to our operating performance, production at 1.34 million ounces was 10% below that of the previous quarter. During the first instance due to anticipated lowered rates and the fewer production shifts occurring in this quarter in South Africa, compounded by an unanticipated severe drought affecting our greater operation. Total cash cost for the company consequently increased by 11% to $308 per ounce. Our production was broadly in line with our mid quarter guidance and our cash cost performance was some 4% better than previously indicated. Production in South Africa was primarily affected in the first quarter by the slow startup after the December break. Lower volumes from TauTona and Kopanang and fewer ounces from Savuka and Tau Lekoa, of which two operations are in the process restructuring, resulted in a 9% production decline for the region. Total cash costs were 10% quarter-on-quarter in local currency terms at 61,747 Rands per kilogram. It is, however, worth noting that his increase in part reflects the commencement of commercial production at Moab Khotsong and the low volumes and high prices expected in this phase of the operations slow buildup. Excluding the impact of Moab, our South African cash costs would have been maintained and this for the ninth quarter in the row at about 60,000 Rands per kilogram. Of the other African assets, the quarter was marked by some good operating performances from the Ghanaian and Namibian assets with lower production from Siguri in Guinea and two of the Malian operations. Geita had a disappointing quarter due importantly to the drought and adverse weather conditions, which Neville will talk to in a moment. The international operations were generally steady with solid operations from Cerro Vanguardia in Argentina and Serra Grande in Brazil, even as inflation and local currency strength respectively affected cash costs at these operations. Cripple Creek and Victor in Colorado posted a grade-driven production decline of 25%, which was quite anticipated and indicated last quarter. While Neville and Roberto will take you through our operational performance in detail, in the context of the first quarter’s reduced number of production shifts and the planned and forecast grade declines of Cripple Creek and Victor, I view these results as relatively sound, keeping in mind that we’re anticipating in the second quarter improved production of 1.483 million ounces and lower our cash costs estimated at $299 per ounce. This cash cost estimate is based on exchange rates of South African Rand of 622, Australian $0.72, Brazilian Real at 219, and the Argentinean Peso at 305. I’d like to make a brief comment on the quarter’s equity offering which saw AngloGold Ashanti issue some very nearly 10 million new ordinary shares along with a concurrent secondary sale by AngloAmerican of 19.7 million AngloGold Ashanti shares. The combined offering priced at 1% discount of a 30-day average weighted price on the JSC, the price was $51.25 per ADS and 315.19 Rands per ordinary share. It was successfully completed on the 20th of April and has resulted in next proceeds to the company of approximately $495 million as well as a reduction in the holding of AngloAmerican to 41,8%. I’m very keen to welcome all new shareholders to the company as well as to extend my appreciation to existing institutional holders, who stepped up to increase their holding in our company. Before I hand over to him, I would like to note that today marks Kelvin’s final quarterly presentation. It marks also the end of an entirely remarkable career with AngloGold Ashanti and its predecessors. Three things in particular for me distinguish this career: The first is Kelvin’s direction of the company’s hedging activities starting in the late 1980s. Under his stewardship, hedging has provided this company with a valuable risk management tool in both bull and bear gold markets. The second distinguishing feature of his career is Kelvin’s passion for our product gold and his understanding of that most important truth, the key objective that the company exists to meet the needs of its customers. With the de-monetization of gold in the early 1970s, Kelvin understood the vital role of gold jewelry demand in both Western and Eastern markets plays in gold demand. He was the founder member of the World Gold Council in the 1980s and has served on its board of directors and executive committee from its foundation. He’s also led the Company’s downstream activities and our investment in the South African jewelry manufacturer, Ora Africa, as well as the gold jewelry design competitions that we have run worldwide. These are eloquent witnesses to his legacy. The third aspect of his career is his ability to attract, inspire, and then give space to grow to younger managers, and the clearest indication of that is to be found in the person of Mark Lynam, who will now lead our hedging activities going forward and Terra Setiloane, who will be leading our downstream activities. I’d like to report my thanks to Kelvin, and I’ll hand over to him.
Kelvin Williams, Marketing Director: Bobby, thank you for the very kind words and for being handed over to. Our metal has been sufficiently in the news during this part quarter that you’d hardly need to read my comments on the gold market in our quarterly results to learn anything about the gold prices in the gold market. My observation at the beginning of the quarter that we live in the exciting times has become true in Technicolor since then. As you know, the gold prices managed t rise by over $160 an ounce since the beginning of the year to a price level over 30% up in one quarter, and the momentum of the increase is barely stalled or abated during this time. It remains the case that the behavior of the gold price is pretty well delinked from the US dollar Euro exchange rate and from the level of trading and open interest on the New York Commodities Exchange, although not entirely so, and I say this because the market still takes reference to movement or circumstances in those two markets to justify trading moves in gold. So, a slight weakening of the dollar will give rise to a material strengthening in the gold price, but the two are no way strictly or proportionately correlated as they were from 2002 to 2005. Similarly, the stock’s gold price has reached its current highest without the New York Com Exchange reaching or surpassing the net high open position of 22 million ounces, which it touched two years ago. The closest correlation we can see with other markets today is that with the base metal and commodity markets, and it’s certainly true that gold has been buoyed by continued investment flows into commodities in general. In this context or against this yardstick, the gold prices actually lagged other metals somewhat, in both base and silver effective, and this could augur well for further gold price strength in the months ahead. In addition to the strength of investment flows, sentiment in regard to gold continues to be supported by the long anticipated weakening of the U.S. currency, by continuing signs of international tension in the Middle East, and by record high energy prices. There is every reason to hope and look for higher prices for our metal in this market. The company’s strategy of active management of our maturing hedge positions and of the hedge book as a whole has not changed during this more positive gold market. We have continued to allow all maturing forwards to roll off the book and to manage trading activities around the existing hedge positions in a manner aimed at generating higher received prices for the company. As a result, the Company achieved a received price of $545 per ounce for the first quarter of 2006, compared with the average spot of $554 per ounce. This shortfall in our received price against spot price of $9 per ounce was the same shortfall as that received in the previous quarter when gold price averaged $485 per ounce, but differently, the full benefit of the $69 per ounce increase in the average spot price quarter-on-quarter was enjoyed by our shareholders and the company. Looking forward, in a continually rising gold price, we will continue to manage the book to secure as much benefit as possible of the spot price increase from quarter-to-quarter. The gap between received price and spot price will certainly increase in a rising market, and active management of the company’s price contract is that much more difficult in a volatile price environment. It is certain that the rather larger shortfall between received and spot will be experienced with the gold price well into the $600 range than would be the case at lower prices. Nevertheless, we remind you that this company’s hedge positions have been reduced by restructuring in the past 18 months and the major benefit of gold price rises will continue to be enjoyed by the company. Regarding the quarter-end evaluation of the hedge, the increase of some 390,000 ounces in the delta size of the hedge and the increase in the negative valuation of the hedge are both due entirely to the increase of $65 per ounce in the spot price of gold, on which the hedge was mark-to-market at the end of the quarter. Had the spot price of gold at the end of March 2006 remained unchanged from the price of $517 per ounce at the end of December, the hedge would have reduced in size to 10.34 million ounces with a mark-to-market negative value of just on $2 billion. The company continues to manage its hedge positions actively and to reduce overall levels of the pricing commitments in respect of future gold production by the company. Thank you and I’ll now hand over to Neville to report on the African operations.
Neville Nicolau, Chief Operating Officer, Africa: Thank you, Kelvin. The African assets produced a mixed set of results for this quarter with solid performances from all three of our Ghanaian operations and from Sadiola and Yatela in Mali. Production at Siguri in Guinea declined quarter-on-quarter and production was also down as expected across the South African assets, although Mponeng demonstrated excellent cost management holding these constant quarter-on-quarters at 51,487 Rand a kilogram in spite of a 4% lower production. Production at Morila in Mali declined by 7%, while holding steady at 22,000 ounces at Navachab in Namibia. As Bobby mentioned, commercial production began at Moab Khotsong this January and it for the first time included in the South Africa regions results. We have previously indicated that Moab will build up slowly over the next few years reaching full production and optimum cash costs in 2012, although we anticipate significant yearly production increases. As I noted last quarter, the Great Noligwa should build up price as we originally anticipated, but as mining moves east grades will gradually increase through the year and going forward as we complete the buildup. Just as Great Noligwa was mined from high-grade to low-grade over its life, so the buildup at the adjacent Moab mine starts with low grades and works toward a high grade. As costs begin to accordingly decline, this will have a significantly positive effect on the South African costs, which as a whole were pushed up this quarter as a result of Moab’s initial low volumes and high costs. The South African operations were also affected by the normal slow start to the year after the December holidays and this combined with the expected lower grades at Tau Lekoa and Savuka resulted in a 9% decline for the group two 610,000 ounces. You will note in the quarterly text that we have decided in light of the very positive gold price environment to move Savuka back into a double shift mining operation with the intention of maintaining production to December 2006. This is in addition to our current plans, and as Venkat so eloquently says, this is jam in our pocket. The downscaling at Tau Lekoa, in order to restore it to profitability, has also been completed, and the full effects of the restructuring will be seen in the next few quarters. Also, in Africa, Geita in Tanzania had a difficult quarter with production down 50% and total cash costs up 13% to $368 an ounce after a severe drought negatively impacted the water supply to the processing plant reducing it to a two-shift operation. Subsequent heavy rains affected the transport of ore and mining, and in particular made it difficult to keep the plant fed. Apart form the first quarter’s results, this has two important effects. First, the gold lost in the first quarter will be difficult to make up during the rest of the year, and second, the important progress in Push back 4 and 5 of Nyankanga pit is proceeding slower than expected and planned. The forecast of exposure of high-grade ore in the Nyankanga pit during the fourth quarter could be a little delayed as a result. In Ghana, Iduapriem reported a 9% cash cost improvement and steady production after mining moved back into the high-grade zone, while production at Obuasi was also nearly on power with that of the previous quarter at 99,000 ounces and cash cost was slightly better at $349 an ounce. Production declined significantly at Bibiani as the operation is downscaled to tolling-only status and as the elimination of all mining-related cost resulted in a 16% decrease in total cash costs. I will now hand over to Roberto to discuss the international operations.
Roberto Carvalho Silva, Chief Executive Officer, Americas and Australia: Thank you Neville. International operations generated results for the March quarter. Looking first to South America, Serra Grande reported 24,000 ounce production level and total cash costs rose 7% as a result of the continued depreciation of the Brazilian Real. AngloGold Ashanti Mineracao, however, managed to hold costs steadily quarter-on-quarter in spite of the 26% reduction decline after mining was temporarily stopped as planned, while it was shut and closed related to Cuiaba expansion project. Production at Cerro Vanguardia in Argentina was marked at 2% improvement, although cash costs were negatively affected by inflation as a consequence of higher price and increased to 8%. In North America production at the Cripple Creek and Victor were 25% as forecasted. Due to lower than originally anticipated grades, cash cost escalation, however, was held to 3% in spite of the lower production and increased ore transported to the back, as well as increased consumption online and other reagents. Production for the year, however, is still anticipated to meet a target of 323,000 ounces to 330,000 ounces. We’ll look across to Sunrise Dam in Australia. Production was just 1% below that of the previous quarter and total cash cost returned to the ordinary levels of Australia $380 per ounce or stock price adjustment considerably reduced the total cash costs in the fourth quarter of 2005. Also in Australia, as we had previously announced the AngloGold Ashanti pressure in the first half of the quarter. Construction of the project is expected to commence in the last two quarters of the year where initial production is anticipated in late 2008. With respect to our 33% interest, we are looking at the current project life of more than 15 years with gold production of approximately 330,000 ounces per year and that the assumed cash cost of US $209 per ounce for the first five years. Our 2006 share of project capital expenditure will be about $82 million and $383 million over the next three years. I will now hand it back to Charles.
Charles Carter, Vice President Investor Relations: Thank you, Roberto, and with that we’ll hand it back to the operator, Dylan, to poll for questions.
Operator: Thank you very Charles. Ladies and gentlemen, at this time, if would like to ask a question, please press * and then 1 on your touchtone phone. If you would like to withdraw your question please press * and 2 to remove yourself from the queue. Our first question comes from Mr. Townsend of BJM. Please go ahead.
Peter Townsend, BJM: Good afternoon gentlemen. My first question perhaps is for Kelvin. Looking at the commentary on the physical market, Kelvin, it’s my interpretation but you seem to be making some warnings regarding physical demand, and I’m just wondering if I am interpreting that correctly if I’m also seeing the results of that in hedge book where you seem to have been quite active this quarter, and I presume that’s why you’ve managed to track the gold price quite closely especially in selling gold, but does this reflect a view that the current level in the gold price is unsustainable?
Kelvin Williams, Marketing Officer: Yes, do you have any other questions? The physical market is always hit when the market has gone up. Some of the markets like the United States, if the price is rising in a seasonally good time for gold like September/October when the manufacturers are beginning their pipeline for Christmas, it will have no effect on U.S. uptake. It certainly will always impact no matter what the time of the year, whether it’s Diwali, whether it’s Chinese New Year, it will impact those countries which have low margin retail prices of gold. So there is no doubt that the Indian market retreated quite substantially in the last month or two and has remained very soft during this first quarter. That does not translate with the price. So, the fact that the price continues to rise by more than $160 over the last four months, it is confirmation of that, but the Indian demand wasn’t rising it. It’s being driven by the investment flows into metals in general, into commodity indexes, commodity funds, and as long as they continue, then there’s no reason to call the price as toppish. That then flows through to what it was which Mark did last quarter, and whether it meant that our trading around the price had implicit in it an assumption that the price was toppish, quite honestly I would think Mark would confirm to you that he didn’t do very much in the way of selling a call option, because in a rising market that’s the very position you don’t want to be in. So what is residually on our books is more in the line of short put options as protection in closing positions if the market were to retreat. But, it was an unusual quarter, and I’m not sure whether any of my colleagues would feel differently, but I don’t think any of us feels that there is anything in the market at the moment to take off the top.
Peter Townsend, BJM: It must be very busy on the production, almost 1 million ounces it looks like there, but on the physical market Barrick has also been a very active player, it certainly seems to be in this quarter and that could have tripped again back on the market and it leads me to my second quarter which is, on the hedge book as it currently stands, given the gold price where it currently stands, are you getting to the stage where you might have to bite the bullet and do something along the lines what Barrick has done in terms of a very big restructure again?
Neville Nicolau, Chief Operating Officer, Africa: Well, let me give you a general answer that gives you a context rather than what we intend to do next. The context is that what Barrick has just done is buy 4.7 million ounces in the quarter. Certainly that might have tightened the over-the-counter market and it might explain why the gold price continued to go up even when the market was flatter than a pancake. If you go back to the last quarter of 2001 and the first two quarters of 2002, AngloGold Ashanti took back over 3 million ounces without buying back. We did it by restructuring and we put no money into the take back. We have, in the overall period of the last five years, probably reduced the hedge by close to 10 million ounces, all without doing it in an upfront buyback impacting directly on the income statement. So, in a sense, you’ve seen a pattern of behavior by AngloGold and I would think you should have seen that Mark Lynam will continue to run the hedge exposures in that way; I mean, I don’t think anybody every rules out any option, but maybe Barrick is buying back 5.5 million ounces now because it did nothing five years ago when we were taking metal back. I can’t speculate, but I’m just saying there is very little in our pattern of behavior over the last five years that I think should lead you to think that we think it’s necessary to take that kind of step.
Peter Townsend, BJM: Thank you, if I may squeeze one more in for Bobby. Bobby, out of character recently you’ve been quite a lot in the press regarding potentially quite big corporate acquisitions or mergers, particularly something with gold fields. In the current gold market again and where you are as a company, AngloGold Ashanti, do you think that there is a strong argument for that sort of emergence between gold fields and AngloGold Ashanti, because it’s a strong counsel to many of the discussions that we’ve heard in the past?
Bobby Godsell, Chief Executive Officer: Let me just put this in the context. On a number of occasions I’ve been asked whether we could be interested in a gold field’s deal or a south deep field. I think it’s a pretty dumb person who says we’re not going to do a, b, c, and d. What I repeatedly said and say again today, we have no formal proposals about either of these companies, we have no deals to announce. If we get a deal, we’ll announce it. What we don’t tend to do is to pre-announce deals and what we certainly don’t tend to do is to rule out a range of future opportunities. We are sitting on the largest ever pipeline of organic projects with the highest ever expansion capital, and we’ve also got the most exciting prospects for green fields exploration. That’s where our growth intentions are clearly focused; plus M&A opportunities have also been opportunistic, and if something came to ask for a good deal or a wide range of things, it would be our job as management to look at them, and that’s what we’ll do.
Peter Townsend, BJM: Thank you.
Operator: Thank you very much sir. Our next question comes from Victor Flores for HSBC.
Victor Flores, HSBC: Good morning. I have two questions, first with respect to Geita and the comments you made about in Nyankanga pit, could you quantify if there are delays with the stripping, what production impact that might have for this year?
Neville Nicolau, Chief Operating Officer, Africa: The outlook for this year is still within the range as we’ve given, and if that changes we will update our outlook. At the moment things are working and we’re not having any delays at the moment. We don’t expect any further water issues at the moment even if a drought was to occur since we’ve upgraded the pipeline from Lake Victoria, and at the moment we are going down in Push back 4 and 5, so the guidance that we gave, which is in our documentation…
Srinivasan Venkatakrishnan, Finance Director: Actually Neville I can pick that up. The guidance we gave Victor was in the region of about 550,000 ounces; when we issued the specific operating we revised the Geita guidance to about 550’ish roughly for the year.
Victor Flores, HSBC: The second question goes to Bobby, I know the gold there is to get development from where it’s been and try to move that production level up from say 100,000 ounces a quarter to maybe as much as 110,000 or 120,000. It looks like the operation is still underneath those improved objectives, there, I was wondering if you can just comment on the problems there.
Neville Nicolau, Chief Operating Officer, Africa: Well we have Robby Lazare in the room, the Executive Officer, for the region, but our outlook for the year for Obuasi, we’ve given it about 415,000 ounces and the first quarter’s results are in line with achieving that target, and now I’ll hand it over to Robby to talk about the development.
Bobby Lazare, Executive Officer, Africa Underground Region: Development is also on target at this stage. We have now got five managed developed reserves. We are planning to get to 10 months by the end of the year, and the plan in terms of the development, you can see it but if you looked at the gross you would see that it’s on a continual upward trend, so we are quite confident that we will get the mining flexibility that we need by the end of the year.
Victor Flores, HSBC: Great, thank you very much.
Operator: Thank you very much sir. Our next question comes from Muneer Ismail of Deutsche Securities. Please go ahead.
Muneer Ismail, Deutsche Securities: Good afternoon gentlemen. Just two questions; you may have answered one of the operational questions, but I’ll ask it anyway. With regards to restructuring at Tau Lekoa, Neville, you mentioned that the restructuring is complete now, what do we have to look forward to, is it 400,000 ounce mine or will grades pick up, will production get better from this point?
Neville Nicolau, Chief Operating Officer, Africa: Again, Robby Lazare is right here to answer that question.
Bobby Lazare, Executive Officer, Africa Underground Region: Restructuring is on track. We’ve got down to our production levels now, but we’ve planned after the first quarter. The cost is about in line. There’s a little bit of tweaking still to do in terms of the cost. We’ve gone into the April month now and we’ve sort of finished our gold production and it was on target, and the cost was about on target as well. A major improvement in terms of cash flows has occurred for the first time in a long time with Tau Lekoa this last month, but positive cash flow.
Muneer Ismail, Deutsche Securities: On CAPEX then, just looking at Obuasi and Great Noligwa, I see that in Great Noligwa there’s a drop in CAPEX from $19 million to $9 million, in Obuasi from $30 million to $16 million, where did that come from, is this is a trend or are we going to see a resurgence in CAPEX going forward in the next quarter?
Bobby Lazare, Executive Officer, Africa Underground Region: Now that was only the first quarter, you know there’s always a slow start to the year and we manage capital accordingly. We still by the end of the year will be on the capital that was forecast for the year.
Neville Nicolau, Chief Operating Officer, Africa: And I thing the Obuasi capital actually goes up by $20 million, and we will spend it.
Muneer Ismail, Deutsche Securities: And then one last one, sorry, I’m dragging on, but just on Geita, Geita produced 84000 ounces this quarter, you’re targeting 500,000 plus for the year, are you going to get this out in the next three quarters, it seems like a bit of a stretch given that timing, you’re tonnage is 1.5 million tonnes per quarter, I can’t see you going much beyond that.
Neville Nicolau, Chief Operating Officer, Africa: But, remember, the plan is to get Push back 4 and 5 down. If you look at the electronic presentation which we’ve put out, Push back 4 and 5 lie right on top of the high-grade ore body and it is our plan to get into that high-grade ore body by the fourth quarter. So, it’s not over the next three quarters, it’s actually towards the end of the year. So, it’s low grades and constant volumes in the beginning for the next two quarters and then in the fourth quarter high grades and similar volumes.
Muneer Ismail, Deutsche Securities: Okay, but seriously high grades?
Bobby Godsell, Chief Executive Officer: Yeah, seriously high grades.
Operator: Thank you very much sir. Ladies and gentlemen, just a reminder, that if you would like to ask a question please press * and 1 on your touchtone phone. Our next question comes from Heather Douglas of BMO Nesbitt Burns. Please go ahead…I’m sorry Heather Douglas has actually withdrawn her question. We have no further questions sir, if you would like to make a closing comment.
Charles Carter, Executive Officer, Investor Relations: We’d just like to thank participants for joining us on this call and our full results presentation is on our website. Thank you.